Operator: Good day, ladies and gentlemen, and welcome to Evolving Systems Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, the conference is being recorded. I would now like to hand the meeting over to Dan Moorhead, Vice President of Finance. Please go ahead.
Dan Moorhead: Good afternoon, and welcome to Evolving Systems 2015 third quarter earnings call. I'm Dan Moorhead, Vice President of Finance and joining me today is Thad Dupper, Chief Executive Officer; and our President, Thomas Thekkethala. During the course of this call, we will be making forward-looking statements based on current expectations, estimates and projections that are subject to risk. Specifically, our statements about future revenue, expenses, cash, taxes and the Company's growth strategy are forward-looking statements. Listeners should not place undue reliance on these statements. There are many factors that could cause actual results to differ materially from our forward-looking statements. We encourage you to review our publicly filed documents, including our SEC filings, news releases and website for more information about the Company. With that, I'll turn the call over to Thad.
Thad Dupper: Thanks, Dan. Welcome and good afternoon. Before I cover the Q3 results, I wanted to share with you change we will be making as a result of our recent acquisition of Sixth Sense Media. Starting today with our Q3 results, we will be reporting in two product areas. The first is our Tertio Service Activation or TSA area, which remains as is and unchanged. The second is a new product area named Mobile Marketing Solutions or MMS, which will include the results from DSA, MDE and SSMs RLM product. We believe the new MMS product area will more accurately represent our going forward business model and highlights a strategic shift to mobile marketing evidenced by our acquisition of SSM. Please note, with the SSM acquisition closing on September 30th, our Q3 results do not included any contributions in terms of revenue, EBITDA or net income from SSM. In addition and association with our acquisition of SSM, we’ve undertaken a review of the combined businesses which has let to make an adjustment to our headcount and cost structure. As a result, in Q4, we will take a restructuring charge of approximately 500,000. Dan will cover this in more detail in a moment, but the short version, as a result of combining with SSM, we had certain areas of the business where we could consolidate operations and realize cost savings. These steps not only will position us to improve our profitability going forward an area where we have a well proven track record, but will also allow us to invest more in mobile marketing where growth metrics are attractive. Now to review our Q3 highlights. License and service or LS bookings for Q3 were 3.8 million, up 34% from Q2. For TSA, as you will recall, TSA got off to a strong start this year with first half TSA LS bookings up 25% year-over-year. For Q3, TSA LS bookings were 1.6 million, down year-over-year and sequentially but year-to-day are up 8%. Turning to our new MMS category, MMS LS bookings for Q3 were 2.2 million, up from 1.1 million in Q2. We believe this shows the progress we are making and we are gaining momentum with DSA, what we now call MMS. We expect this trend to continue into Q4. And to that end, you may have noted that we announced a new DSA order last week for a win in Africa. And today, along with our earnings release, we announced another DSA win. That brings to four the number of new name DSA wins this year and that compares favorably to 2014 where we’ve reported only one new DSA customer. We believe the new DSA account wins which to remind you our Q4 orders, along with other TSA and DSA orders combined with the SSM contributions, we’ll continuing to accelerate our momentum in Q4 and beyond. And some comments about the synergies and opportunities we see with the addition of mobile marketing to EVOL. As many of our investors will recall, in 2011, we successfully transformed EVOL from a number management reporting business to what we termed a pure play activation company. That transition serves the EVOL and its investors well. During that period, we’ve reported growth and significantly improved profitability driven primarily by growth from our DSA product. As the communication industry continues to change at a rapid pace, we need to change us well. Our acquisition of SSM will accelerate our expansion into mobile marketing and more importantly will influence our strategic direction as we go forward. Thomas will cover some of the details of our go forward strategy in a few moments. As you know partnerships has been in an area focus for EVOL for 2015. In Q3, we continue to advance our work with our marketing content partners to the point where we expect to submit proposals starting this quarter. Also in Q3, we continued to close orders with our SIM partners. And in the recent weeks, our SIM partners have registered four accounts with a plan to propose our DSA solution in 2016. In addition, we are working with a very large network equipment and system provider. These companies are key, because they often bid on large transformation projects where a carrier tends to change out a large portion of their IT and network infrastructure. Many times, those bids include functional requirements that encompass the capabilities of our products. As a result of our work, EVOL has been included in five transformation bids with this partner. We believe the foundation setting we have done with these partners in 2015, our marketing content partners, our SIM partners and this large network system provider will bear fruit and contribute to our revenues in 2016. To close, Q3 was an important quarter for the company. LS bookings and backlog grew sequentially, an important change to our order momentum. In Q3, we acquired SSM, a potentially transformative event for EVOL moving us away from an OSS centric company to a mobile marketing solution provider. In Q3, we continue to make progress developing and advancing our channel and partnering strategy and while it wasn’t represented in the Q3 results the work we started to restructure EVOL will improve our profitability going forward and to allow us to invest in our growth initiatives. And with the two new DSA customer wins over the past week, we are off to a good start to Q4. Given these steps, we are optimistic about our Q4 and our 2016 growth trajectory. Thank you for joining us today and I’ll now turn the call over to Thomas.
Thomas Thekkethala: Thank you, Thad, and good afternoon, everyone. With the merger of SSM and EVOL, our software is now installed in over 70 carriers in 50 countries reaching over 1 billion consumers worldwide. This is a very large audience. As I mentioned on the last call, carriers have invested significantly in spectrum, network and customer acquisition, but they have not been able to fully participate in the rapidly expanding and high growth mobile marketing opportunity. At SSM, we have been helping carriers monetize their network in several ways. For example; if a person buy the new iPhone at the carrier store and gets his data and apps transferred over, we could show them the three most popular data plans used by others who have a similar phone and apps and up sell them to a higher data plan. If he’s an existing customer on a trajectory to exceed his data usage plan, we could up sell him a trial of a higher data plan. Now, if he is using most of his data plan to Facebook, we could up sell him a Facebook gold plan in addition to his regular data plan. Our platform offers significant differentiators in the emerging market that is predominately prepaid and to bring your own device market which is serviced thousands of local dealers. In this market, if a customer recharges his balance or swaps his SIM, we see this is real time and we can use this opportunity to up sell or recommend the next best action to a personalized interactive messages with the consumer. So that would be the first phase of mobile marketing where we are hoping the carriers up sell their own service. With this merger, we will be able to cross sell these solutions to all the carriers and help them monetize more of their network services. In the next phase, we will go beyond monetizing the network to monetizing the carriers’ consumer base. Here there are several tactics that we’re working on carrier customers. For example; in the emerging market, every time a consumer completes a transaction that affects his or her balance, an update is sent to the phone. So imagine just two of our carrier customers is Asia that together connect 350 million subscribers, every day an average of 10 balance of similar system messages are sent to each consumer. That’s 3.5 billion message or eyeballs a day every day. We now offer an interface integrate multiple types of personalized mobile add messages into the stream. We will offer links to connect the consumer to offer walls to expand the office to banners, daily deals and app downloads. App downloads have become a really large revenue opportunity for any network with a large audience like a Facebook or a Twitter. The carriers of course own their own network and there is no reason why they could not participate in this revenue given their large audience. Consumers are downloading a lot of apps. The challenge for companies like Spotify or Pandora is that the average consumer just uses about five or seven apps and their app might not be one of them. Now based on the consumers’ behavior, location and context, we can actually make carrier sponsored office to those consumers to help them start using the Spotify app or the Pandora app without incurring data charge for a week. This can only be uniquely done by the carrier. After the first week, the carrier benefits because the person starts increasing their data usage and Spotify benefits because they now have a new loyal customer. Now carriers are going beyond this by adding more value added services like online gaming, entertainment, mobile banking and m-commerce to their existing network services as a new source of revenue not just because it’s new revenue but it also stimulates more date usage. So we’re working with our customers to engage their subscribers with trial office and up sell them monthly services and subscriptions. As you can see, mobile marketing is a very important part of the carriers’ growth strategies and carriers looking very closely at all the ways of capitalizing on these revenue generating programs. We think that solutions are offering a strategic because they engage the consumers in a timely and personalized way and stimulate new carrier revenue streams that are critical to their growth strategies. I turn this over to Dan Moorhead, who will detail our Q3 results now.
Dan Moorhead: Thanks, Thomas. Third quarter financial results; third quarter revenue was $5.8 million versus $7.6 million last year. Revenue included LS revenue of 3.2 million and customer support or CS revenue of 2.5 million. Q3 revenue was impacted by bookings that came in late in the quarter which limited the amount of revenue we’re able to recognize and foreign exchange rates that decreased at the end of the quarter. Total cost of revenue and operating expenses decreased 8% in the third quarter to 4.8 million. Our profit metrics remained steady relative to the second quarter with 75% gross margins, 17% operating margins and 20% adjusted EBITDA margins. GAAP net income was $600,000 or $0.05 per share. Net income and earnings per share were negatively affected by realized foreign exchange losses of $200,000 in the current Q3 and $400,000 when compared to last year. On the balance sheet, we reported cash and cash equivalents of $9.4 million at September 30th, compared with $9.8 million at December 31st. Working capital was $13.7 million. For the nine months, revenue was $18.5 million versus $22.1 million last year. Revenue included $11.2 million in LS and $7.3 million in CS. Total cost of revenue and operating expenses were down 6% year-over-year to $15.2 million. Gross margins grew to 75% up from 73% year-over-year. Operating income year-to-date was $3.3 million, adjusted EBITDA was $3.9 million and GAAP net income was $2.2 million or $0.19 per share. Booking and backlog highlights; we define bookings at sales orders that are expected to be recognize this revenue during the following 12 months. Total Q3 bookings were $5.8 million compared to $6 million. LS bookings were $3.8 million in Q3 compared to $4.5 million last year, but at 34% sequentially from $2.8 million in the second quarter. MMS LS bookings were $2.2 million, down from $2.5 last year, but up from $1.1 million in Q2. And total SC bookings came in at $2 million, up from $1.5 million last year. Our backlog at the end of the third quarter was $10.3 million. LS backlog totaled $5.2 million, down from $5.5 million a year ago, but up 11% from $4.7 million in the second quarter. MMS LS backlog was $3.9 million and TSA LS backlog was $1.3. Dividend update; our Board of Directors declared a fourth quarter dividend of $0.11 per share payable December 4th, 2015 to stockholders of record on November 27th, 2015. As Thad mentioned, we have eliminated some positions in the organization and we are still finalizing the process but we expect to take restructuring charge in Q4 of approximately $500,000 to cover severance and related taxes and benefits of terminated employees. The majority of the liability will be paid out during Q4. We expect the annual savings from the combined operations of approximately $1.5 million. Lastly, I just wanted to note that we will be filing our 8-K/A with the audited SSM financials within the next 30 days. I’ll close with the usual reminder that a single order can have a significant impact on our quarterly results. Accordingly, we continue to advice that it’s more accurate to judge our performance on an annual rather than quarterly basis. With that we thank you again for joining us today and we’re now happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Mike Crawford from B Riley & Company.
Mike Crawford: Thanks. Question on the timing of the DSA awards, nice awards. And they came as opposed to what we often see with enterprise software companies at the end of the period, but early in the next period, that have any relation to do with negotiations?
Thad Dupper: You know we know someone would get them, Mike, you know these are in faraway places and we brought the contracts. And the one we announced today I think Dan, you just signed at this morning right.
Dan Moorhead: Yeah, it is in signature process. It’s just the timing.
Thad Dupper: Yeah, so you know we like to try to bring him on the quarter but you know we don’t fight it now, we work it and when they closes, we announce it. So that’s probably the most direct way to answer it.
Mike Crawford: Okay, great. And then Thad, you talked about some five transformation bids up there; can you just go into that more detail what that opportunity can mean for Evolving?
Thad Dupper: You know we think it’s important. It was a gap that we had for quite some time. And as we said in the script, there are handful of companies, not many but they are very large and carriers invite the men when they are doing a refresh of their technology layer. And a lot of times this is a new billing system, maybe new network switches, a new CRM layer. And a lot of times when you are changing out all that technology, you could be changing out an activation system, a SIM management and activation system, a campaign management system like RLM. And the fact that we’ve been working with this partner for quite some months, we’ve got them to the point where they are educated on our product; we work to the pricing terms and conditions. And as we said, we’re now in tried bids. We’re not the prime, the large equipment provider, system provider will be the prime, but in these five bids, we have our technology lien item. And we just think it’s an expansion of our sales channel. So in addition to our direct sales people, we’re placing more emphasis and more effort into building partnerships that will help us to expand and accelerate our revenue. We think this one is a good one.
Mike Crawford: Okay, thanks. And then last question relates maybe you could split in two parts. On the Tertio pipeline and also this now MMS pipeline, how that is shaping up currently?
Thad Dupper: Well TSA, you know its legacy part of the business, we know well, so we’re not managing forecasted well. It did start strong this year. Q3 results were a little lighter than the prior two quarters, but it’s something that we’re not surprised by. Our forecast is very tight for that business. We’ve got a good robust forecast for Q4 for TSA. And I think more towards the point of your question, for Q4 with these two new DSA wins already in and with the renew momentum in our DSA funnel, we feel good about it. And in addition to that of course we get a full quarter now of SSM. And you know Thomas can comment on that if you’d like, but the SSM funnel is also quite strong for Q4. So we feel that Q3 was very important to us, we reversed the polarity if you will the momentum of our bookings. We acquired SSM and now we are go into Q4 with a full quarter of SSM as well as these DSA wins and the rest of the business firing what we like to think on all cylinders. Thomas, is there anything you’d like add about the SSM funnel and outlook for Q4 at a high level?
Thomas Thekkethala: Thad, you covered it. I think that’s fine.
Mike Crawford: Okay, thank you.
Operator: Thank you. And our next question comes from the line of James Moorman from Davidson.
James Moorman: Thanks for taking the question. I guess first off you could just give a little perspective I guess on the - maybe the size of these kind of the deals in, there is two African providers and then just it sounds like you’ve made great progress with this one service provider, the national - multinational they kind of beats the carries that in Africa are kind of under the umbrella. Are you kind of working towards other areas kind of outside, it seems you are getting good penetration in African but any other areas you can move to next?
Thad Dupper: Well, hi Jim, how are you? That’s right. So African has been a very good market for us and this carrier who I think is a top five carrier in the world when you add up all the subscribers in India and Africa, very large carrier, is continuing to adopt DSA technology in their operating companies. And we feel it’s a great endorsement and we hope we will get the attention of the other top ten carriers in the world because it’s quite a recommendation we’re getting in terms of orders. But it’s not - our funnel isn’t just from this African carrier. We have a good funnel of other DSA customers coming. I am always little KG because sometimes our competitors like to listen in and we welcome them. But we continue to get good traction and good interest from the countries where we have a strong install base. So Southeast Asia, Asia is good, India is very good, Latam is good for us and Africa is you’ve seen by these two orders are continues to be very strong. So emerging markets where the subscriber growth is and where the majority of the SIM card activations take place and that follows on to the comments that Thomas made in his remarks continued to remain to be very strong markets for us for DSA.
James Moorman: Great, thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from line of Brian Kinstlinger from Maxim Group.
Brian Kinstlinger: Hi, great, good afternoon.
Thad Dupper: Hi Brian.
Brian Kinstlinger: So I am wondering how space you are within this large African operator, I guess within its operating companies, how much more room do you have?
Thad Dupper: We have more room. We’ve picked off the biggest ones. So our first win was in India which was very, very large, I think in excess of 200 million subscribers. Our next win after that was Nigeria, and that was a large property. And now we’ve been picking them off across the region. But there is still room for more growth and I can’t remember the exact number but I’d say we’ve got another four of five Opcos that we could get if we clear the decks with them. So there is still potential there. And then of course once we’re installed, we always to look to get upgrades and new features that we can add in. So this remains a good opportunity of us. Beyond the African carrier in this large Opco, when we go into production with a large carrier in a market, it usually gets the attention of the other carries in the market and that usually facilitates at the very at least the dialog with that carrier for DSA. And in some cases as you’ve seen, multiple countries where we’ve installed DSA. As a result of that pressure, Nigeria and Philippines come to mind where by launching with carrier A, it attracted the attention of carrier B, which we eventually turned into a DSA customer.
Brian Kinstlinger: Great and I think the previous caller asked this, can you describe the size of the DSA wins, are they larger than average, they are smaller than average or they much larger than average, just maybe a sense, so Dan mentioned, one single order could have a major impact on results, so, just trying to understand?
Thad Dupper: Right, so they are in lined with the orders we’ve booked year-to-date with the other two, so they are all about the same sizes. We negotiated you know a pricing table when we did the master agreement over a year ago. They are not gigantic but they are good sized. And what we really like is the install base growing. And these sales, because they are coming off the master contract, there is some work to be done to get the paper approved that the local Opco level. But the fact that we have an umbrella agreement makes them a little bit easier. So you know this is good business for us.
Brian Kinstlinger: Great and then how much - you mentioned 1.5 million I think is the amount of savings from the cost cutting, but then right after that in your prepared remarks, you’d mentioned could be - allow you to invest more in mobile marketing, so I guess I am wondering how much that 1.5 million will be save versus reinvested?
Thad Dupper: Well, I think the direct answer to that is we don’t know yet. But what we like is we’re building the work chest, we’re cutting in areas where we think we can cut costs. And then as opportunities present itself either people or technology or investments that we think will propel EVOL in the right direction which we think is mobile marketing will have those dollars available if we need them. Now just to be clear, nobody is expecting to spend all those dollars in reinvestment. On the other hand, if an opportunity presents itself, I think you can count on us and expecting on us to something that will give us a good return to our shareholders.
Brian Kinstlinger: Yeah. And then with these all bookings, you got an acquisition, you are cutting costs, could you maybe highlight the trend you expect in the fourth quarter, I mean should we see a more than $7 million type revenue quarter and what kind of adjusted operating margins now - adjusted EBITDA margins, should we be thinking about what the combined business after cost cuts?
Thad Dupper: Well, I’ll let Dan comment on that, but I’ll just give you a very high levels. You know we don’t give quarterly guidance, Brian, as you know. But what we have said publically is the profitability of SSM it’s similar to EVOL, so it’s very nicely run profitable company. And when Dan releases the 8-K/A in the coming weeks, obviously the date will be out then you can do the math. But we have a full quarter of SSM under our belt with Q4 given that we close it on 9.30. There is profitable as we are, gross margin, EBITDA margins, operating margins in that direction. And you know we said they were about 20% of our run rate business, right Dan?
Dan Moorhead: We did, so -
Thad Dupper: I mean I think you can back into it, but the number you mentioned I think would be an awfully low number, wouldn’t you agree, Dan?
Dan Moorhead: Yeah, I think the run rate but you see the backlog is up slightly. So revenue should be on the run rate we’ve set for the first three quarter are in that and then plus the extra. We talked about 20% with them and similar EBITDA margins, I think that gets you pretty close.
Brian Kinstlinger: Yeah, okay and then are you able to name the equipment provider you are partnering with and how did they become familiar with this software, are they a customer or have they - just maybe a sense for how that relationship was established?
Thad Dupper: We don’t want to name them until we close our first deal, that’s the deal we have with them. We got five torpedoes in the water as we like to say. They came to us because they saw our product portfolio and it fills some gaps in what they have. And the other thing I would say is they had a capability in one of our areas that they are planning to turn down and they are going to replace it and white labeled one of our products. It’s one of our smaller products. But that was another motivation for them. So they see it as filling gaps that they have, reducing their costs, which is very common. And we like it because we get to participate in these transformational bids. And you know I think anybody who is familiar with telecom space on the call will see the fit.
Brian Kinstlinger: Yeah, two more quick one, Thad, are you expecting I mean some of visibility on new FUA orders that drive want being us in revenue, do you have any on the horizon that you see coming?
Thad Dupper: Well you know we’ve talked about this in the past. We do have some FUAs forecast for Q4. And again my partner Thomas, maybe I’ll ask him to comment but his business, the SSM business also have some license renewals. So whether it’s Q4 or going forward in 2016, their model is very similar to us and as a matter of fact, they get a nice amount of their revenues from license renewals. Now the byproduct of that depending on how much a customer orders in an FUA quarters worth or years’ worth could lead to some lumpiness. We’ll take the lumpiness because whether it’s a RLM license upload or DSA license upload, it’s a 100% gross margin. But let me ask Thomas to comment if you’d like on that.
Thomas Thekkethala: Yeah, thank you, Thad. You know fundamentally you know as most of us know the carriers and their procurement department sort of negotiate hard as you get close to the end of the quarter to close a deal. And so we have always in our agreements and close to them is a list of limit variables that are used to limit the use of the license. So we would say it’s prepaid versus postpaid, we would basically say it’s for a fixed number of subscribers, we would only offer a production license not a disaster recovery license. You know we would offer it for only a specific geography or certain product types. So when they expand, you know you get a lot of upgrade license capabilities from that. And particularly in the emerging market where a number of subscribers keep growing, it produces a lot of what you all refer to is FUAs or we refer to as license upgrades without any because it’s just - it’s given them a license to do more which was restricted from the get go.
Brian Kinstlinger: Yeah, so they have access for three consecutive quarters, so humor me again, I am curious what the board’s review of the dividend has come back with, it just seems like you are in the early stages of your business model, you’ve added a nice acquisition that you’d like to invest in mobile marketing. So I am just curious how the board has review to dividend what their responses been?
Thad Dupper: So the board is very pro dividend, you know I think historically people could gather that. The board only makes the decision on a quarterly dividend every quarter. So we give no going forward guidance on that. But as I’ve said before, the board feels that Evolving Systems stand alone is capable of sustaining this dividend. And with the addition of SSM, I think they are even more convinced that we can sustain the dividend. But if you ask Thomas or I or Dan, we’d say we’re a growth company and the changes we are making with the restructuring, we think will give us the funds needed to continue to invest an initiatives to grow the company. So we’re all about growth, Thomas, Dan and I, but I believe you know from discussions with the board, board is very pro dividend and I certainly believe with them that the combined EVOL and SSM should be all sustain this dividend.
Brian Kinstlinger: Great, thanks, Thad.
Thad Dupper: Nice talking to you Brian.
Operator: Thank you. And our next question comes from the line of Ronald Mullins from Segmark.
Ronald Mullins: It’s very encouraging that how optimistic you are and see your upcoming business, specifically from the acquisition. But I wonder why as most companies will provide a forecast at least for the next quarter, what’s so different about your business that you can’t do that?
Thad Dupper: Hi Ronald. Quite frankly there is a not much different about the business, but what we found as microcap company, as a small company that the movement of an order in or out of a quarter can have a profound impact on our revenue and EBITDA. And as a result, we just feel that we’d almost be doing at this service if we gave our investors a quarterly goal because the variability in it one big order can move and have a material impact. So that has been our policy for the eight years I’ve been CEO and we plan to continue it. Having said that our friends and our analysts on the call from D.A. Davidson, from Maxim and B Riley due provide quarterly guidance, so we think our investors are equipped by the insights from our analysts but we prefer to not provide quarterly guidance because of the variability in the small business.
Ronald Mullins: Okay, buy you are suggesting that it’s going to a profound difference in the business, why can’t you provide something about in the expectations over the next six months or over the next year, it’s very difficult from the side of investors to deal with the small cap company, you know -
Thad Dupper: I note your comment and we’ll take it onboard.
Ronald Mullins: Thank you.
Thad Dupper: You know we have said publically Ronald that the addition of SSM will be adding 20% to the run rate size of Evolving Systems in 2015. Dan will be providing what he did financials of the SSM business in the coming weeks and I do think that’s enough information for the informed investor to be able to model some going forward numbers for 2016 as well as our analysts. But you know to provide that now will be premature because the numbers aren’t out. But I don’t see the upside in providing that guidance. Still we love the addition of SSM, but we still are small company even with SSM and I think variability quarter-to-quarter still exists.
Ronald Mullins: Okay, thank you for that information.
Thad Dupper: Sure, thank you.
Operator: Thanks you. And this concludes our question-and-answer session for today. I would like to turn the conference back over to management for any additional comments.
Thad Dupper: Well, thank you for joining us again today. And we look forward to giving you an update on our Q4 results and that will probably be in the March timeframe next year. Have a nice holiday season and thank you for your interest in Evolving Systems. Cheers.